Operator: Good morning, everyone and welcome to the NRx Pharmaceuticals’ Third Quarter Results and Conference Call. Currently, participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference call is being recorded. I will now turn the call over to Eric Goldstein, Managing Director, LifeSci Advisors. Please go ahead, sir.
Eric Goldstein: Thank you, operator. Before we proceed with the call, I would like to remind everyone that certain statements made during this call are forward-looking statements under U.S. federal securities laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. Additional information concerning factors that could cause actual results to differ from statements made in this call is contained in our periodic reports filed with the SEC. The forward-looking statements made during this call speak only as of the date hereof and the company undertakes no obligation to update or revise the forward-looking statements. Information presented on this call is contained in the press release issued yesterday after the market closed and in the company’s Form 10-Q, which maybe accessed from the Investors page of the NRx Pharma website. Joining me today on today’s call from NRx Pharmaceuticals are Jonathan Javitt, Chairman and Chief Executive Officer and Randy Guggenheimer, Chief Business Officer for NRx. Jonathan will provide a summary of the company’s progress during the quarter and recent weeks, before turning it over to Randy for a review of the company’s financial results. Following their prepared remarks, the management team will address investor questions. I will now turn the call over to Jonathan.
Jonathan Javitt: Thank you, Eric. Good morning, everyone and thank you for joining us today. We appreciate your attendance and we look forward to answering your questions. This morning, we issued a press release outlining the progress we are making, advancing our pipeline of 3 late-stage programs with significant potential in COVID and other respiratory illnesses, COVID vaccination and bipolar suicidal depression as well as in our preparations for transition to commercial operations. I will spend just a few moments summarizing the major developments in these areas over the quarter and in recent weeks. And then I will turn the call over to Randy for a review of our third quarter financial results. Then, we’ll be happy to answer the questions some of you have submitted. I will start with an update on our lead program, ZYESAMI or Aviptadil for the treatment of patients with acute respiratory failure in critical COVID-19 and potentially other respiratory conditions. When we began this project in March 2020, Aviptadil was never formulated as commercial growth for intravenous use and we discovered that none of the analytic methods or required manufacturing processes has been developed. When our partner’s upcoming ZYESAMI’s development in January 2021, we continued at full speed, and at this point have invested the majority of the R&D expenses associated with bringing this potentially lifesaving drug in dormant file to the patient’s bedside. Our financial statements speak for themselves. Our shareholders have supported us in continuing the progress. And 18 months from a cold start with dormant files, we have data that we believe will ultimately support our drug’s full approval, pending a second confirmatory trial, and may support earlier avenues for rushing this drug to patients. As we announced on November 4, the FDA declined to issue an Emergency Use Authorization for ZYESAMI for the treatment of critical COVID-19 with respiratory failure, a disappointing decision in our view, but one that does not alter our plans for or confidence in the potential ZYESAMI for treating COVID and numerous other diseases that damage the lining of the lung. Now, that President Biden has nominated an FDA Commissioner, we look forward to providing the FDA with the additional data that they require to let us give patients one last chance to make it home to their loved ones. While we hope to secure an earlier path to treating critically ill COVID patients, we anticipate that the NIH ACTIV-3b trial will provide clear proof of ZYESAMI’s efficacy and safety. ACTIV-3b has now enrolled more than half of its targeted 660 patients and ZYESAMI has passed multiple safety and futility assessments by its independent data safety and monitoring committee. Dr. Fauci has briefed the White House and Congress about NIH’s decision to test ZYESAMI, an unproven medicine from a small and then private company and a global Phase 3 trial. On September 21, Dr. Francis Collins, Director of the NIH gave a public presentation in which he identified ZYESAMI as one of only a dozen candidate in-hospital therapeutics in the NIH active program that has survived to Phase 3 from a starting cohort of more than 600 candidate drugs. Intravenous ZYESAMI maybe unique in targeting patients who have run out of other options and you can find a number of first person accounts in the media of patients who have made it home to their families when all otherwise seemed lost. Today, with our partners in the NIH ACTIV-3b program, we continue to engage with regulators and potential partners on multiple constant to advance ZYESAMI toward worldwide regulatory approval. NIH recently opened regulatory files for ZYESAMI with the European Medicines Agency, the United Kingdom Medicines Regulatory Agency, and the Brazilian Health Regulatory Agency. Now that we have FDA review of our manufacturing module and have passed a European Qualified Person or QP inspection, NIH plans to take the ACTIV-3b trial to Europe, the United Kingdom and Brazil, using our commercial scale medicine. The use of commercial scale product in the ACTIV-3b trial potentially supports new drug approval for ZYESAMI without future additional bridging studies. The regulatory files opened by NIH on our behalf will help provide the foundation for worldwide development to ZYESAMI, both to treat COVID and also to treat a myriad of other lethal conditions that attack the lung. Because of our fast track designation for ZYESAMI, the FDA agreed to allow rolling review of our new drug application. Therefore, elements such as CMC, manufacturing, and non-clinical safety and toxicology will be reviewed in advance of reviewing efficacy data. We continue to believe that ZYESAMI offers a chance at life to those with COVID-19 respiratory failure who have exhausted all currently approved therapies. While we wait approval, ZYESAMI remains available to patients upon a physician’s request under federal and state right to trial us for those patients who meet the legal criteria. In their letter advising us of their EUA decision, the FDA stated that the decision was in part based on the review of safety data from only 131 randomized patients treated with ZYESAMI and asked us to present additional data. We were surprised that the FDA did not consider the 150 or more additional patients already treated with ZYESAMI in the NIH ACTIV-3b trial with no serious adverse events. And we are continuing to coordinate that review and bring those patients into the review as well as the review of more than 300 patients treated with ZYESAMI under our expanded access programs. On November 2, the NIH Data Safety and Monitoring Board, or DSMB concluded its third scheduled analysis and again found no new safety issues after reviewing a total of more than 300 patients, which is nearly half of the participants expected to participate in the trial. In August, we announced new findings from our Phase 2b/3 IV trial demonstrating clinically significant improvement on two intermediate endpoints, relief from respiratory distress and prevention of cytokine storm in critical COVID-19. Patients in this trial treated with ZYESAMI demonstrated improvement in blood oxygen within a day of initiation of therapy, which is indicative of improved lung function. Patients treated with ZYESAMI similarly showed far lower levels of cytokine IL-6 than those treated with placebo. People are well aware of the role of cytokine storm in the lethal effects of COVID-19. Both findings are highly and statistically significantly correlated with improved survival and recovery from COVID-19 in this clinical trial. This is our basis for applying for new drug approval under FDA’s accelerated approval pathway. In October, we announced the publication of peer reviewed results from a prospective open label administratively controlled trial of Aviptadil for the treatment of respiratory failure in patients with critical COVID-19. This study reported 60 days survival in 81% of those treated with Aviptadil compared to 21% survival among those who received standard of care treatment at Houston Methodist Hospital. A similar nine-fold advantage was seen in the cumulative probability of recovery from respiratory failure. Now, it should be noted that these patients were too acutely ill and had morbidities that disqualified them from being enrolled in our randomized trial. These results were published in the Journal of Infectious Diseases in treatment. In addition to these trials of IV ZYESAMI, we also anticipate data from our ongoing trials of the inhaled formulation, the IV COVID-2 trial of inhaled ZYESAMI versus placebo was sponsored by NRx. And we currently expect a first data monitoring committee review for the inpatient component of this trial by the end of this year. The FDA has asked us for more data in support of future regulatory filings. Large federally supported trials are underway to generate those data. And we are committed to delivering those data and other information that may emerge the FDA as quickly as we can. The FDA has expressed a commitment to working with us and to reviewing additional data as it’s presented. Let me turn to the where we are on commercial preparation of ZYESAMI, because we believe there will be an ongoing need for improved therapies to treat severe COVID for some time. And accordingly, we are moving forward with our commercial preparations for this drug. We have contracted with Cardinal Health for third-party logistics and commercial services. We have also contracted with IQVIA for pharmacovigilance upon any potential approval or authorization. We are pleased to announce that during this quarter, ZYESAMI has finally evolved from an early clinical stage medicine to a medicine that is ready for widespread use in clinical trials, and ultimately, commercialization and delivery to the patient’s bedside. When we began this project in March 2020, Aviptadil has never been formulated as a commercial drug for intravenous use. And we discovered that none of the analytical methods or required manufacturing processes have been developed. Because of the public health emergency, the FDA took the unusual step of allowing us to formulate the original clinical trial medicine in an FDA inspected 503b pharmacy and handmade batches of 300 doses per batch with a shelf-life of only 62 days. And that means that we were actually making drug every week, sometimes twice or three times a week in order to keep up with the clinical trial demand. In September 2020, we initiated a manufacturing partnership with Nephron Pharmaceuticals of West Columbia, South Carolina. 1 year later, we and Nephron have developed with the support of our investors proprietary and validated methods for manufacturing of scale and for proving manufacturing quality and stability. We are now able to release batches of up to 100,000 doses with a shelf-life of 150 days, which we continue to work to extend. Thus for the first time in its history, Aviptadil, now ZYESAMI, is a commercial-ready drug. When we initiated this project, neither we nor our partner possessed a single gram of Aviptadil ingredient that is the drug substance with which to begin development. Aviptadil had never been manufactured at commercial scale suitable for inclusion in the national stockpile. We were able to restart an old manufacturing process to get us into clinical trial, but even that process was capable of making only 100,000 doses of Aviptadil every 2 months and the manufacturing process itself is no longer feasible because of new EPA guidelines. With the assistance of the U.S. government, we partnered with the Polypeptide Group in Torrance, California to design and implement a proprietary modern, high capacity manufacturing process for our Aviptadil drug ingredient, a process capable of delivering 5 million doses of GMP grade drug substance for batch. We are about to receive our second manufacturing run of Aviptadil drug substance from this process. Although Aviptadil is a natural peptide that is vasoactive intestinal peptide and not protectable by patents, we have now built a body of proprietary processes, some of which we are likely to patent that we believe will afford us valuable and protectable intellectual property over and above the data exclusivity that we expect to obtain from the FDA and other regulators. Other natural peptides such as insulin and human growth hormone have benefited from similar forms of intellectual property protection. In October, we submitted a revised investigational new drug module on the manufacturing of ZYESAMI, which confirms that Nephron is prepared to supply ZYESAMI on a commercial scale and includes all of our manufacturing methods and analytic methods. This module will be incorporated in the FDA’s rolling review process supporting the NDA for ZYESAMI. We have received multiple inquiries from investors and the public about introducing ZYESAMI to Europe and the UK, where the public health emergency continues to claim lives on a daily basis. Unfortunately, until last month, there was simply no ZYESAMI in existence that was manufactured to EU or UK standards for introduction into those territories. The handmade clinical trial supplies were adequate for ongoing trials and to meet right to try requests in the United States. Without ZYESAMI manufactured to UK’s standard neither we nor any partner was legally in a position to submit for or obtain emergency use in Europe or the United Kingdom. A regulatory application requires both evidence of safety and efficacy and evidence that medicine has been manufactured and will be supplied in a manner that meets local GMP or Good Manufacturing Practice regulations. Clinical data that supports safety and efficacy alone is not sufficient. Our application to the FDA for Emergency Use Authorization was supported by the manufacturing data from Nephron. NIH requested a waiver from EU authorities to accept ZYESAMI manufactured to the GMP standards that are accepted in the U.S. and implemented in our FDA inspected facility. However, this request was not granted. ZYESAMI is a sterile liquid product intended for intravenous injection and therefore subject to a particularly high level of manufacturing rigor. The technical difference between U.S. and EU requirements in this case is that the EU requires plant operators to change their protective clothing twice and passed through a second airlock as they enter the sterile core of the plant. Although we demonstrated a perfect record on sterility in our FDA inspected facility and despite the requested waiver from the second the airlock requirements on our behalf, the EU authorities required full compliance with their more stringent manufacturing regulations. To make ZYESAMI available to residents of Europe and the UK during Q3, we established a separate manufacturing capability that meets EU standards in conjunction with Alcami Incorporated. Last month, a European Qualified Person or QP auditor completed an inspection at the Alcami manufacturing facility, with no adverse findings. A QP auditor is responsible for certifying that each batch for medicinal product meets all required provisions when released from a manufacturing facility within the EU or imported into the EU. And the declaration is required by the EU regulatory authorities for the release of ZYESAMI and its introduction into the EU. Now that we have met the EU and UK sterile product’s manufacturing requirements, the NIH is deploying ZYESAMI in Europe, the United Kingdom and Brazil as part of the ACTIVE-3b trial. We anticipate that the EU, UK and Brazil phases of ACTIVE-3b led by NIH will support the efficacy and safety of ZYESAMI for people who live in these territories and will ultimately support our application for drug approval in these territories. Meeting the EU UK manufacturing standards and passing the QP audit now enables us to immediately apply to EU, UK and Brazilian regulators for emergency use of ZYESAMI, while ACTIVE-3b completes its enrollment. We have retained expert regulatory council in the EU for that purpose. To the best of our knowledge, we are the only company with a manufactured stable formulation of intravenous and inhaled Aviptadil inspected to international standards. Without manufactured drug, there was no regulatory filing to be made. Now, there is and we have moved forward to register our drug worldwide, in the face of a rapidly resurgent pandemic that is claiming more lives everyday, to do otherwise would be unconscionable. At the same time, we remain committed to mediating our collaboration agreement with Relief Therapeutics in a manner that respects the risks taken and contributions made by the shareholders of both companies and bring this life-saving drug to patients. As we previously announced, the Nation of Georgia Ministry of Health granted us Emergency Use Authorization based on examination of our data by Georgia’s National Society of Physicians. We continue to anticipate first revenues by year end, pending the formation of Georgia’s new government. We are in active conversation with several other health authorities in the Caucasus region and neighboring countries and look forward to updating shareholders in the future. We are continuing to invest in ZYESAMI to bring this medicine to patients. In 2022, we plan to launch a clinical trial of ZYESAMI to treat acute respiratory distress syndrome caused by sepsis, which was the original dream of Professor Sami Saeed and his research team. In the future, we aim to launch trials of ZYESAMI to treat sarcoidosis, checkpoint inhibitor, pneumonitis, acute smoke inhalation and a variety of other lethal pulmonary conditions. Aviptadil has also been used off-label by more than 10,000 Americans for the treatment of allergy-related conditions according to FDA testimony and we anticipate learning more about the role that ZYESAMI might play in this setting. We are working with several partners both to design digital health solutions that will make our medicine more convenient and impactful for patients and new dosage forms that will make our medicine both more convenient for patients and longer live especially at room temperature. During the quarter, we advanced the engineering of our digital health solutions for inhaled ZYESAMI in partnership with PillTracker Ltd. This enterprise was originally funded by the Israel Innovation Authority, the BIRD Foundation of the U.S. State Department, Merck KGaA ventures and private investors to track compliance with and medical results of medicines used in clinical trials. Although PillTracker was originally envisioned around solid dose medicines, i.e., pills and capsules, PillTracker’s technology was selected by the Boards of NRx and Relief Therapeutics at the time we filed our inhaled use IND with FDA. Because we mutually recognized the need for a technology that would track adherence to our inhaled form of ZYESAMI and simultaneously measured the clinical benefits, such as improved blood oxygen and ambulatory capacity. We anticipate that PillTracker’s technology would be deployed in our inhaled use trial by year end. Although we are encouraged by the progress we have made in formulating ZYESAMI for intravenous use, we continue to believe that patients will ultimately need a convenient means of administration that is stable at room temperature. Accordingly, in August, we have partnered with MannKind Corporation to explore the use of MannKind’s Technosphere delivery system, the system that supports their inhaled insulin product as a means of enabling patients to carry and use ZYESAMI in a compact, simple device. Now that MannKind device also contains a Bluetooth chip that is designed to be able to integrate with digital health solutions such as PillTracker. We are also exploring the option of using thin film freezing, a proprietary system developed by TFF Pharmaceuticals as a means of achieving a long-term stable version of ZYESAMI suitable for stockpiling. Let’s turn to BriLife. In July, we added a third Phase 3 program to our company when we signed a Memorandum of Understanding with Israel’s Institute for Biological Research or IIBR, to complete development and commercialization of their innovative, experimental and possibly revolutionary COVID vaccine known as BriLife. In this collaboration, the IIBR provides technical assistance and will receive customary royalty and milestone payments for intellectual property in exchange for worldwide exclusive rights on the part of NRx to develop and market the BriLife vaccine. As the self-propagating live virus vaccine, BriLife differs from other COVID vaccines as it presents the entire spike protein of the SARS-CoV-2 virus to the body’s immune system rather than merely a small segment of that spike protein. Moreover, the vaccine itself continues to evolve and develop its own variants of the COVID spike protein. We like to think of BriLife as a sheep in wolf’s clothing. In other words, it’s a benign virus, but it looks to the body as if it was a coronavirus and generates that immune response. We believe this maybe the reason that the BriLife vaccine shows encouraging protection against Delta and other variants that concern in preclinical studies. And just this week, information was released suggesting that, that same protection against Delta has been seen in early human studies with the BriLife vaccine. Additionally, as new variants are discovered, the spike protein complex of those new variants maybe rapidly added to the BriLife vaccine thereby expanding the spectrum of coverage and adaptability to future variants. In October, we concluded a business mission to Luxembourg at the invitation of the Luxembourg Ministry of the Economy for the establishment of vaccine manufacturing capability for BriLife to serve European and adjacent markets. We have been granted an operating company business licensed by the Luxembourg government and established a commercial banking relationship with BNP Paribas, Luxembourg. We are currently negotiating a comprehensive banking and supply chain finance solution in preparation for tech transfer, scale up and manufacturer of BriLife. And we are working to put in place the manufacturing backbone that will enable us to begin building a large scale capability to deliver commercial quantities of the vaccine. We have signed an agreement with [indiscernible] a highly respected CDMO close to Luxembourg to begin technology transfer and scale up of BriLife. The vaccine is manufactured by a newly developed bioreactor technology previously developed for gene therapy. We are fortunate that Luxembourg has shown us a confluence of unique technologic capability and enthusiastic financing environments. And instead of government priorities that include the type of environmentally-friendly, high technology, high tech manufacturing we require to advance BriLife to the next level. We hope to initiate GMP vaccine manufacturer in the first half of 2022 and to have results to share with you by the time of our first quarter 2022 conference call.
CRO: Although the planned trial is technically a non-inferiority trial, we believe it is possible that BriLife will demonstrate a better immune response to several variants of concern than the competitor vaccine. Indeed, we have already seen that early data from IIBR, demonstrating neutralizing antibody levels against the Delta variant in vaccinated patients that are as high that are as potent as the neutralizing antibody levels seen in those same patients against the original wild type coronavirus. We aim to enroll sufficient patients to prove the efficacy of BriLife against the original COVID virus and it’s variants of concern by mid-2022. We believe that the emergence of the COVID Delta variant during this past summer and the rapidity with which this and other variants have eroded the immunity generated by first generation vaccines highlight the unmet need for COVID vaccine that provides long lasting and safe immunity that is resistant to new variants of the virus as they emerge. The significant research investments already made by the IIBR, has enabled a rapid tap through registration studies. We at NRx are honored to have been selected for this project, and grateful for the trust placed in us by the Government of Israel, the people of Georgia and its neighboring countries. And as the Delta and subsequent variants continued to threaten the immunity generated by first generation vaccines, we hope that this new vector based approach may offer enhanced immunity. So finally, let me turn to where we are in our ongoing development with NRX-101. As you know NRX-101 was our foundation program for the treatment of suicidal bipolar depression. The clinical trial was interrupted by the surge – the initial surge of the coronavirus pandemic, when multiple psychiatric facilities were shutdown, beds were converted to COVID beds. And we are now preparing to restart our Phase 3 trial and currently expect enrollment to resume in early 2022. Suicidal depression is a condition that accounts for approximately 50,000 deaths annually in the U.S. according to the U.S. Centers for Disease Control. Suicidal bipolar depression represents unique unmet medical need, especially since the only currently approved treatment for people who have this condition is electroshock therapy. We have been awarded breakthrough therapy designation by the FDA for NRX-101 in this indication. NRX-101 is a patented fixed dose combination of D-cycloserine and Lurasidone which has a dual targeted mechanism of action designed to achieve a clinically meaningful level of NMDA blockade without the side effects associated with other well known NMDA antagonists such as ketamine. Five human studies have shown a positive effect on depression and/or suicidal ideation associated receptor in psychiatric disease and his lifetime of research in neurochemistry that led to the award of the composition of matter patent in 2020. The composition of matter patent awarded for this dual targeted mechanism of NRX-101 is extensible to other dual targeted drugs for major depression and other conditions. We have special protocol agreements in place with the FDA for NRX-101 pivotal trial and NRS-101 has been granted breakthrough therapy designation, fast track designation and has received a biomarker letter of support from the FDA. We believe that if our Phase 3 pivotal trial results replicate those observed in our Phase 2 study, we will meet FDA criteria for approval, and we will have a clear path for NDA submission to the FDA in 2022. With that, I will turn it over to Randy for an overview of our financial results.
Randy Guggenheimer: Thank you, Jonathan. I will begin with the $30 million private placement we completed in August, in which we sold approximately 2.7 million shares of common stock and preferred investment options. With this transaction, our cash position was $38.9 million as of September 30, 2021, compared to $1.9 million as of December 31, 2020. We believe we have sufficient cash to support operations through the next 12 months. Note that our clinical trial operations for ACTIV-3b and I-SPY are primarily funded by the U.S. government. Net loss for our third quarter was $20.8 million compared with a net loss of $5.2 million for the three months ended September 30, 2020. This was primarily due to non-cash expenses associated with the establishment of key partnerships, and an increase in clinical trials and development expenses related to ZYESAMI. Reimbursements from Relief Therapeutics were zero for the third quarter of 2021 compared to $2.9 million for the third quarter of 2020. Research and development expenses for the third quarter were $6.3 million, compared to $4.3 million for the prior year period. The increase was primarily driven by an increase in clinical trials and development expenses related to ZYESAMI. General and administrative expenses for the quarter were $13.8 million, of which $9.3 million were non-cash stock based compensation and consulting fees. For the prior year quarter G&A expenses were $3.8 million, of which $2.8 million was non-cash stock based compensation consulting fees and warrant expense. The increase was primarily due to the increase in the non-cash stock based expenses, as well as an increase in insurance expenses. Other expenses for the three months ended September 30, 2021, were $0.7 million compared to zero for the three months ended September 30, 2020. The increase was primarily due to increases in earn-out cash liability and warrant liability. With that, I will turn it back to Jonathan, for closing remarks.
Jonathan Javitt: Thank you, Randy. Before taking questions, I just want to emphasize our commitment to efficient growth development and ask you to focus on our belief that not only do we need to focus on clinical safety and efficacy, but on the manufacturability of our lead programs. We have made tremendous progress in our three lead programs in an incredibly short period of time, and have efficiently utilized our resources and energies in areas of critical needs where we can have the most impact. We have realized that it’s a bit unusual small cut biotechnology companies to focus on manufacturability of new medicines, to the extent that we have. However, we believe that early focus on CMC that is chemical manufacturing controls, analytics and manufacturing is critical. If there is to be a smooth transaction from proving safe to smooth transition from proving safety and efficacy to being able to ship a new medicine or vaccine to patients immediately upon approval. We look forward to working with FDA and regulators around the world on an ongoing basis for a review of our new ZYESAMI data as it becomes available moving forward with our accelerated new drug application. And we look forward to FDA’s response to our application for breakthrough therapy designation by the end of the year. And currently, we are putting in place the infrastructure to support our transition to commercial operations to support both ZYESAMI and BriLife. And we are planning to resume enrollment in our NRX-101 Phase 3 trial. In 2022, we can look ahead to multiple data readouts and other catalysts and remain confident in the opportunities before us. We appreciate the continued trust that you our shareholders have placed in us. And we reaffirm our commitment to bringing life saving treatments to patients with lethal conditions that are not addressed by current therapies. Eric, we are ready to take questions.
A - Eric Goldstein: Thank you. We have a question on the held Phase 2/3 trial. How many patients have been enrolled to-date? And when do you expect completion?
Jonathan Javitt: Well, as we have said, we are expecting completion in the first half of 2022 as the pandemic gains speed. And unfortunately, we are in the middle of an uptake – an uptick in cases, enrollment has become more rapid. So, we may be able to pull that completion date further forward.
Eric Goldstein: Okay. Question on the BriLife vaccine, can you provide more detail and when you may seek regulatory approval or authorization from the health regulatory authority?
Jonathan Javitt: We are expecting to see Phase 2 placebo controlled results coming out of Israel by the end of this year. And that’s based on the reports that have already surfaced in the press. That efficacy was seen. The vaccine effectiveness was seen by health authorities and patients who were vaccinated. That is there are people walking around with green passports, who got the BriLife vaccine and were not required to be vaccinated with mRNA. We are going to be starting a non-inferiority registration trial comparing BriLife to a known vaccine. And depending on how quickly that trial enrolls, and what happens with the pandemic, really depending on whether we are able to see the same kind of effect against the Delta and other variants of concern in this next trial that’s already been seen in the patients vaccinated in Israel. We could be talking about applying for some form of regulatory approval towards the midpoint of 2022. Of course, if we are talking about going all the way to new drug approval for a vaccine, then you would be expecting a more traditional year to 18 months time point. But if these variants continued to come out as the way they have, and if the vaccine lives up to some of the hopes, we could be looking at a shorter timeframe.
Eric Goldstein: Thank you. Yes, we had a question asking about further detail breakthrough designation of our ZYESAMI, and the chances of breakthrough designation when you might get an answer from the FDA, any more updates on timing?
Jonathan Javitt: We are expecting FDA’s response to our breakthrough therapy designation towards the end of the month. And we have taken a step that we think is a bit unusual. We have posted the contents of our breakthrough therapy designation or tests on our website so that shareholders and members of the public can understand exactly why we believe this is a breakthrough drug and why we believe it demonstrates preliminary evidence of efficacy, which is the regulatory requirement for breakthrough therapy designation. So, people are free to read what we have submitted. And we look forward to the FDA’s response.
Eric Goldstein: Okay. Thank you. We have a general question about COVID. What are your thoughts on COVID, will it continue to remain present and will get worse as we get further into the colder months?
Jonathan Javitt: Well, I think the most important thing, as we are now precisely 2 years from the original recognition of COVID outbreak in Wuhan, China. And we are about 20 years from humanity’s first known encounter with lethal coronavirus, the original SARS epidemic. And of course, it’s possible that coronavirus has attacked humans in the past. But we are so lethal that goes epidemic pouring themselves out. And certainly the same thing happened with SARS. It was such a lethal virus that the SARS epidemic was pretty much contained simply because the people who were exposed to that virus died and the spread was contained. But here we are 2 years into this pandemic where the coronavirus has learned how to live in people, to not kill too many of them, you should pardon the expression and therefore to be able to spread from person-to-person in a pandemic way. And as somebody who spent his life as a public health professional, I think that humanity is encountered with the coronavirus is going to be a long lived one, the same way that humanity’s encounter with influenza viruses is here to stay. So, this pandemic has ways to go. We don’t yet have drugs that can stop. Although we do have drugs that are at least showing promises for reducing the variance of the coronavirus. And we are seeing the virus’ ability to present itself in new variants and new mutations that are able to circumvent some of the original vaccines. So, unfortunately for humanity, probably the benefits that we are talking about with ZYESAMI and with the BriLife vaccines are benefits that humanity is going to need. But at the same time, we hope that people will realize that Aviptadil, ZYESAMI is not just a coronavirus drug. This is a drug that protects the lining of the lung in a very profound way. It protects the alveolar type 2 cell, which makes the surfactants that the lungs depends upon in order to transmit oxygen from the lungs – from the air into the bloodstream. And that’s why we focused on the original intent of ZYESAMI which was for acute respiratory distress syndrome. And now that we finally have a manufactured form of ZYESAMI that can be mass produced and introduced into clinical trials, the opportunity to test ZYESAMI in a whole variety of lethal lung conditions. So, thank you for Eric.
Eric Goldstein: That is all the questions we have. Thank you, everyone for joining us this morning. This concludes the NRx Pharmaceuticals third quarter results conference call. Thank you all for participating.